Operator: Good day ladies and gentlemen. Thank you for standing by. Welcome to the Natuzzi First Quarter 2022 Financial Results Conference Call. As a reminder, if you like to join via telephone you may do so by dialing in the following number: (+1) 412-717-9633, then passcode 39252103#. Once again, that’s (+1) 412-717-9633, then passcode 39252103# in addition to the link provided to join via video. At this time, all participants are in a listen-only mode. Following the introduction, we will conduct a question-and-answer session, instructions will be given at that time. Joining us today from Natuzzi is Chief Executive Officer, Mr. Antonio Achille; the Executive Chairman, Mr. Pasquale Natuzzi; then Mr. Jason Camp, President of Natuzzi Americas; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. I would now like to turn the conference over to Piero. Please go ahead.
Piero Direnzo: Thank you, Kevin and good day to everyone. Thank you for joining the Natuzzi's first quarter 2022 financial results conference call. After a brief introduction, we will give room for a Q&A session. Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States securities laws. Obviously, actual results may differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent annual report on Form 20-F filed with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. And now, I would like to turn the call over to the company's Chief Executive Officer. Please, Antonio.
Antonio Achille: Thank you, Piero. Good morning for the investors joining from this time in U.S. and good afternoon for the European one. Just a quick point of view where we ended in term of first quarter 2022. We continue executing our strategy. As you know, we are outgrowing the market. Our revenue grew by 17% versus the first quarter 2021 and 43% versus 2022. We continue also improving the mix towards branded product. In terms of order flow, roughly 90% of order flow come from brands which is 4, 5 percentage points above the respective period of 2021 and 2020. We continue also focusing on key geographies. All 3 geography which are center to our strategy, have been growing double digit. North America is growing 32% in revenue, Southwest Europe 19% and China 14%. We also continue our focus on retail. I believe we are to data particularly significant. We added 19 freestanding store in the quarter, all in franchising, 16 of which are in China, where you know we are already a critical mass of both 380 stores, 2 are in U.S. and 1 in Italy. So we added 19 freestanding door [ph] in the quarter. Another data which I believe is significant. In North America, like-for-like is above 50% versus 2021. So again, a strong sign that our retail formula start working. As a result, the weight of retail, directly operated store and franchising on total revenue grew to 52% compared to 49% in quarter '21. We continue investing to modernize our factory. The pilot we are running based on the 4.0 technology is delivering very solid results and will be the base for future investment in our factory. We also continue accelerating our growth partnership. We just signed a partnership for the development of rest of Asia Pacific with TTF which is a listed company. We joined our Singapore venture with 22% share with an investment of €5.2 million. And lastly, we continue strengthening our governance and trying to create a more committed team. As you will -- as you have read from our press release, Gilles Bonan which is a senior executive which cover several positions, including the one of CEO of Roche Bobois, joined our Board as independent and also the Board approved the stock option plan which should become effective in the next few months. So I would say a quarter very in line with where we want to go. This despite clearly some headwinds which we are experimenting as everyone in the industry in terms of significant inflation in raw material and higher than usual transport cost. We wish this to be a phenomenon that stayed in the COVID but clearly, this inflation is continuing beyond COVID. We are monitoring this cost and adjusting our pricing but this in the quarter limited our ability to expand further the margin than what we achieved. As you have seen in total transparency, we also mentioned that in China, we are dealing with the restriction imposed by the local authority which are affecting our factory in the Shanghai area is an important factory. So the first 2 months of the second quarter -- so nothing that you will read in the first quarter. But the first 2 months of the second quarter in terms of revenue generation has been affected by the partial ability to operate full speed our Shanghai factory. So this is extreme synthesis, a reading of the quarter. I think it's always good when you see your company going in the direction you're driving it and the direction and the direction we want to go to create value for our shareholders. Clearly, we wish that COVID was the biggest challenge we had to face in this plan. We're now dealing also with other additional element which is the continued inflation, the COVID restriction in China and clearly, the war in the euro zone. Let me stop here. I tried to be as brief as possible to leave even more space than usual to question and answer.
Operator: [Operator Instructions] Our first question today is coming from Dave Kanen from Kanen Wealth Management.
DaveKanen: The first one is regarding the price list increases that you're taking. In the press release, you said that they'll start to take effect during Q2. So I'm kind of looking past Q2 as an extraordinary event or a temporary period vis-à-vis the lockdowns in China and so forth. But looking to the second half of the year and beyond. Given the price increases and -- excuse me, given the price increases that you're passing and then also, you've alluded to modernization investments or capital expenditures at the factory level to improve efficiency. Should we expect higher gross margins, assuming no further increases in inflation in the back half of the year from that combination of price increases as well as some of the investments in technology at the factory level?
Antonio Achille: Okay. So if I -- Dave, thank you very much for your question. If I take literally your question, the short answer is yes, in the sense that if we are not to assume any further inflation pressure, the answer is yes. Reality, we keep reporting strong inflation. European Union just reported today an inflation for the month of May of 8.1% which is the highest since the creation of European Union, 1999. So let me maybe expand a bit on how we work on pricing. So every year, at the beginning -- at the end of the year and we take decision at the beginning of the year, we look at what we expect the dynamics for raw material and cost of different form plus transportation. And now we should reflect this into price increasing. And then we act typically between the third and fourth week of January. So that we started the new year with a pricing scheme that should be allowing us the target margin given the certain dynamic in costing. So this normally should be a decision we taken once in a year and we should be protecting your marginality for the full year. What we've been dealing is a situation where we, in certain months of the year, reported an inflation which has been higher than what normally we report in 1 year. We also reported, for instance, when it comes to metal like energy, given the war in Ukraine, a complete surge of cost overnight of fuel and other energetic cost. So we keep reviewing the pricing list, maybe not just one but multiple time during the year to make sure that we can protect the marginality we want. This, of course, cannot be done every day because dealing with partner and client, you cannot change the condition every day. So we tried to be discrete and doing maybe a couple of times in a year. You also need to recognize that given our model, whatever decision we take today, it will be effective in terms of revenue 2, 3 months afterward. Because the fulfillment timing between the order taking and the order recognition, the revenue recognition is 3 months. So it's a delicate game where we want to protect margin. We're always in pricing. We carefully look at the dynamics of the material. And if inflation should stay reasonable, stable, this should be more than enough to protect our marginality. Reality, these dynamics has been particularly crazy over the last few months.
DaveKanen: And then -- yes, I'm sorry, I'm assuming you're going to touch on...
Antonio Achille: Yes, we'll get there too. I think it's good to use these discussion to provide full transparency on our operating model. A second element which came to my attention and we are acting on is the use of discounts. So given a certain price list, typically, the industry invest in selling discounts. So specific privileged condition you recognize to your wholesale partner and sell out discount which is basically the discount you do at the retail level to your final customer. This historically is significant for the industry and has been very significant for Natuzzi which is another way to protect marginality of course, acting on this. So we are reviewing the types of discounts which are allowed. And we are getting a better controlling of those because those also protect is a way to protect marginality. Not only the listing price but also the management of commercial discount and privileged condition. Sorry, Dave, you were further articulating your question.
DaveKanen: Yes. So the second part of it was the investments that you're making in the modernization of your factory for the purpose of getting some cost benefits and efficiencies. When would we start to realize those benefits?
Antonio Achille: So while pricing is, as you can imagine, more an immediate decision, capturing the benefit require 2 elements, 1 investment in the factories and also training of our team to work in a different way -- of our workers doing in a different way. We started this pilot call 4.0, basically at December 2021. So we are like 5 months, is progressing extremely well. It's based on 3 concepts: One is simplification of the assortment. Second is managing them through our Lean process, so kind of continuous flow. And the third one is integration of the supplier which are processes which are way of working which are quite new to the industry to this specific industry while maybe they are standard for the automotive industry. The pilot is progressing well, is delivering results above our internal expectation. This is becoming the new blueprint, a new standard for the new factory will develop and for the investment we are doing to modernize the existing factory. Starting from the second part of this year, we'll be start acting on our Italian factory where the cost of labor is higher and where the benefit of this new technology are expected to be higher. We expect this to be a way to contribute to better quality for our clients and to reduce quite importantly, the cost of production.
DaveKanen: Okay. Can you give us some sense as to what those improvements will be as it relates to margin and what the ROI is on some of this -- I'm assuming its capital equipment that you'll be purchasing?
Antonio Achille: Yes. So we're looking at potentially high single-digit margin improvement in terms of cost of production. So I would say, significant, of course, for an industry like our industrial margins are not, let's say, infinite. So it can be a significant improvement. In terms of timing of investment will be between second part of this year and next year, the bulk of the investment in the Italian plants. In terms of ROI, I would say we look at that is attractive compared to the use of capital we want to do. So it's higher than the current, let's say, average return on capital. So it should be a good way to invest the resources of the company.
DaveKanen: Okay. And then could you just give us an update -- maybe this is a question for Jason. In the past, you've talked about the expansion of your North American footprint, direct operated stores with a goal of opening up approximately 10 per year. Is that still the plan? As an investor, that was one of the reasons why we like the story is because there would be that pivot to much higher-margin branded product north of 70%. So it was critical to our investment thesis. Haven't heard you speak about that at all. If your -- Jason, could touch upon that if we are on track to open probably 10 stores a year for the foreseeable future in North America? And then also if there's an opportunity in Western Europe and elsewhere, if you can touch on that as well.
Jason Camp: Great. So, I'll kick off with North America. You can see that we did open 2 stores in the first quarter and we expect to be on track to open approximately 10 stores this year by year's end. And we are still committed to that growth target of approximately 10 stores in North America a year.
DaveKanen: Great. And then Antonio, can you talk about Western Europe. Is there an opportunity to increase your DOS footprint there?
Antonio Achille: So, I would say there's definitely an opportunity to increase DOS and FOS in U.K. which is a market where we already have a good established operational base in terms of store and brand awareness. There is clearly an opportunity in Spain, where we have team and we have 11 stores and a good brand awareness. I was yesterday in France. And also here, we used to be quite significant in terms of distribution. We now are with 1 store which by the way, we are renovating. And here, we're also exploring a way to come back. So as you know, the company is distributing in under market. So definitely, there are opportunity beyond the U.S., beyond U.K. and Spain but we need to be very focused. Because my view is that, especially when it comes to retail, you need to be strong locally to be strong globally. What I don't suggest the company will not lead the company to do it to be scattered and to be -- to have one store here and one store there because then it's very difficult to manage them, to attract talent, to kind of have a pay back on marketing. So we look at individual geography also in Europe to do that. Differently for is FOS where we have opportunity we are capturing. We just opened a new fantastic store in Vienna, in the real center of Vienna is a franchising with a partner which is willing to open 10, 15 in that area. So our model of franchising is very attractive. So beyond the U.S., we look at franchising for both brand is a way to accelerate our retail transformation. And on that front, I believe Europe and emerging markets are quite promising. Because different from North America and Asia, there is still a significant amount of traditional mom and pops for retail store. And as the industry is modernizing, they can see in our franchising a perfect plug-and-play business to substitute their mom and pops which with this inflation and with the supply chain is very difficult to manage and become part of our family with a predictable return and a predictable investment. So I believe our franchising can be quite substantial. It can be a quite substantial opportunity in Europe and emerging markets.
DaveKanen: Okay. That makes sense. I understand wanting to have density in certain markets so that you can make those investments and scale them. So the next question and then I'm going to turn it over to anyone that is in queue. I don't want to totally -- has my apologies to everyone on the call. In the past, we've looked at the China JV as "a hidden asset." I'm estimating it has probably worth almost $10 per share or more that plus the real estate and yet our stock is not getting credit for it. The core business to me is trading for 0 value. Can you give us an update on your efforts or any initiatives underway to unlock that value for shareholders on the China JV? Now you don't have to talk about Vietnam or Singapore where they're much smaller, we like it but just specifically China.
Antonio Achille: Yes. So the amount of discussion we're having with the Board on this kind of option to create more value for the JV. And four is individual investor, KUKA which is listed in Shanghai and Natuzzi is increasingly Board by Board. So this is becoming more central. I can be partially specific but we agreed already to do some action in terms of cash reduction and distribution to the partner and also further recognition of some form of value that Natuzzi is doing in terms of R&D investment for the JV. And those have been already agreed upon but I cannot be specific in terms of individual amount of those but it's an initial step in the direction. Is that the full, let's say, potential of China for us? The answer is no. As I mentioned, there is alternative that with inside the shareholder with Pasquale Natuzzi, the Chairman we discussed which include potentially a IPO of the China operation. But on that, there's been initial discussion with a partner. But at the moment, it's very premature. So it's not something will happen in the next few months. But also that option is on the table.
Operator: [Operator Instructions] If there are no further questions, I'd like to turn the floor back over to management at this time for any further or closing comments. There are no further questions.
Antonio Achille: Okay. No. I mean -- you have the press release. I mean, we are looking at a quarter which we believe is a good step, right, in our direction of accomplishing our plan which is around brand, is around retail, is around growing in focused geography and modernizing our factory. We've been mentioning quite explicitly in our press release, the fact that China is in locked down and this is affecting our factories. Good news is that just beginning of June, the authority confirmed that we can go back and having 80% of total workforce operational in the factory which is positive. As I mentioned, we also keep investing to make sure that we can maintain our top line expectation in terms of retail and wholesale in a situation where, as you can see, the market in general for retail, see a more prudent consumer. So this is a bit -- I would say, summary. I hope to stay with you. We keep investing to make our press release more self-explanatory. We also added one session with a split of revenue by growth -- by geography and the relative growth. We will welcome you to pose additional question off-line to Piero if you have any. I don't know if Pasquale or the Chairman want to do any final remarks beyond what I just did?
Pasquale Natuzzi: You covered everything. You are fantastic.
Antonio Achille: Thank you, Mr. Chairman.
Pasquale Natuzzi: You're welcome.
Antonio Achille: Jason or Piero, any final remark on your side?
Jason Camp: Not on my side.
Operator: Thank you. In that note, that does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.
Antonio Achille: Thank you.
Piero Direnzo: Thank you. Thank you, everyone.